Operator: Good morning, ladies and gentlemen, and welcome to Lifetime Brand's Third Quarter 2024 Earnings Conference Call. At this time, I would like to inform all participants that their lines will be in a listen-only mode. [Operator Instructions]. I would now like to introduce your host for today's conference, Rory Rumore. Ms. Rory, you may begin.
Rory Rumore: Thank you. Good morning, and thank you for joining Lifetime Brand's Third Quarter 2024 earnings call. With us today from management are Rob Kay, our Chief Executive Officer, and Larry Winoker, our Chief Financial Officer. Before we begin the call, I'd like to remind you that our remarks this morning may contain forward-looking statements that relate to the future performance of the company, and these statements are intended to qualify for the safe harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance, and factors that could influence our results are highlighted in our earnings release, and other factors are contained in our filings with the Securities and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments, except as required by law, the company does not undertake any obligation to update such statements. Our remarks this morning and in our earnings release also contain non-GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. Included in such release is a reconciliation of these non-GAAP financial measures with a comparable financial measure calculated in accordance with GAAP. With that introduction, I'd like to turn the call over to Rob Kay. Please go ahead, Rob.
Rob Kay: Thank you. Good morning, everyone, and thank you for joining us today. On today's call, I'd like to first briefly touch on our third quarter financial results. Second, discuss the factors that contributed to the reduction in our guidance for full year 2024, the strong performance in our e-commerce channel and progress in our International and Professional Food Services Division, and touch on anticipated M&A. Fourth, provide an update on the supply chain, and lastly, I will touch on the balance sheet. For the third quarter, 2024, we delivered net sales of $183.8 million compared to $191.7 for the same period last year. Sales were largely impacted by softness in the end markets that drove slower volume at point-of-sale and contributed to de-stocking in our core U.S. business, most notably in the mass channel. Specifically with reference to Dollar General reporting a decline in their year-to-date revenues and store traffic, they've made the decision to delay the second phase of the Dolly Parton program, which had originally slated to begin shipping in 2024 and is now planned to be shipped in the first quarter of 2025. With this pushout in shipments, we now anticipate $4 million of our previously forecast $10 million in sales from the Dollar Store to be recognized in the first quarter of 2025. At the time, we reported our second quarter results in early August. We did not have this line of sight and today issued an update to our full-year 2024 outlook to reflect this and other updates in our business. The uncertainties signaled in prior quarters have intensified with relatively weak end market conditions combined with slower restocking that has contributed to that has contributed to weaker than expected shipments. Additionally, while a small overall impact, the overall downturn in the food service market has resulted in fewer shipments than anticipated. While these macroeconomic headwinds were factored into our previous guidance, we did not factor in de-stocking and delayed shipments into 2025, which has had the largest impact on our outlook. Further cementing the soft third quarter, our channels experience weakness in the seasonal back-to-school consumer demand. However, we are cautiously optimistic, expecting this holiday season to be consistent with the forecasted increases by major retailers and third-party data, which we consider when calculating our internal expectations. Factoring in these delays, we now expect full-year sales of $680 million to $700 million compared to $687 million in 2023. Despite challenges in the operating environment, we believe in the resilience of our business model is clear and we are pleased to have delivered to have delivered another quarter of steady gross margins. Importantly, we experienced robust market share growth across our categories in e-commerce during the third quarter. Consolidated e-commerce sales increased to $34.4 million or 18.7% of total sales year-over-year and to $86.3 million or 18.4% of total sales for the year-to-date period. U.S. e-commerce sales reported notably strong growth with an increase of 10.7% in the third quarter year-over-year. During the third quarter of 2024, Lifetime outperformed across the majority of our categories at Amazon, reinforced by our October 2024 Prime Day sales, which increased 21% year-over-year Prime Day across all categories. To put this into context, Amazon reported a 3% increase in year-over-year October Prime Day sales. Overall, our comprehensive portfolio of well-recognized brands and our targeted go-to-market approach of meeting the consumer where they shop continues to resonate and resulted in valuable market share gains. Turning to our international segment, which we understand remains under the microscope for many, sales increased 10.9% from the comparable prior year quarter. This quarter's positive sales performance is a result of successful execution of our repurposed go-to-market strategy and reorganization within this business, again, where we continue to see market share expansion, which is solely driving this performance as the end markets remain challenging. While we recognize an operating loss in international, we have experienced higher gross margins and incremental listings with larger retailers in targeted channels, which we believe is an early indication that our turnaround strategy is working. The ability to turn the international business back to profitability is an opportunity to add an incremental $10 million in annual EBITDA compared to our performance in fiscal year 2023.This should not be discounted and one of the key reasons behind our focus on restoring international. Overall, demand in the UK end markets remains soft and our third quarter growth was driven by our strategic shift into new markets and new channels. In particular, we've gained traction with national retailers and grocers as we shifted the legacy focus from independence, which has been a declining channel. On the European continent, we continue to gain new placement at large retailers such as Leclerc and Carrefour in France, Erika [ph] in Germany, and Marco [ph] in Denmark. As these are all placements that we generated in 2024, we expect that the bigger financial impact of these wins will be in 2025. In Asia-Pacific, we are experiencing favorable traction with the expansion of our listings in multiple brands and with expanded retailers in Australia and New Zealand. Further, we have completed the second phase of our two-step process in our infrastructure turnaround in this market and finalized the build-out of our own infrastructure. We now are in the process of establishing a fully direct APAC sales strategy, which we expect to be complete by the end of 2024. We anticipate that not only will this allow us to grow top-line, it will be at a more profitable growth and contribution margin. Outside of the top-line growth in international, we are pleased with the incredible success of the first phase of our Dolly Parton program. The first program of four exceeded all expectations and positions lifetime for further growth with the Dolly Parton brand and fits our original strategy with more lifetime products and brands available at Dollar General and other retailers. With the pushout in shipments I previously mentioned, we now anticipate the incremental revenue impacts to be seen in the first quarter of 2025 and still expect this program to well exceed $10 million. Building on initial consumer momentum for the Dolly Parton brand, we are already in discussions with additional customers and channel partners for 2025 shipments and have received placement in a few accounts already. As I mentioned a few moments ago, our strategic goal with the Dolly Parton license was to first use this brand to enter the Dollar channel and penetrate across several of our product categories, including home decor, cutlery, and tabletop. As we continue this collaboration, we have an ongoing dialogue to expand our market share in this channel with additional Lifetime products and brands. In our food service business, we experienced a slight downturn this quarter, driven by a downturn in this market, which has led market participants to delay capital projects and purchasing decisions. However, we continue to gain share in this segment through national account networks and food service distributors and remain optimistic based upon the continued new listings that we've won to expect growth this year and robust growth in 2025. In late September, we expanded our Mikasa Hospitality product offering to include premium glassware brands Royal Leerdam and ONIS. This new product line will begin shipping in 2025 rather than late in the fourth quarter as previously indicated, and we expect a revenue contribution in our commercial food services division beginning in the first quarter of 2025. In terms of our M&A pipeline, we believe that the current market opportunities are strong. We continue to actively pursue numerous M&A opportunities that are currently in our pipeline and are evaluating targets in many areas, including our core business, new product adjacencies, and our food service business. We are hopeful to make meaningful progress in terms of pursuing an opportunity. However, we will not do so if it means compromising our financial discipline. Meanwhile, as we previously disclosed, we are rigorously evaluating targets in new categories such as the outdoor sector that are accretive to profitability and a catalyst to achieve our long-term performance objective at an accelerated pace. We expect to continue to advance discussion regarding these potential opportunities and will keep the market updated on all strategic initiatives. On this topic, we recorded one-time acquisition related expenses of $0.2 million in the quarter and $0.9 million in the year to date period related to our due-diligence in pursuit of a potential acquisition target that did not come to fruition. These one-time expenses will not impact our future financial results. The important takeaway relating to our M&A activity is that we will not sacrifice our long-term vision for the company to accept short-term goals. We believe there remains significant opportunity here. However, I can assure you we are waiting for the right opportunities. We will perform the due-diligence and properly vet prior to committing or announcing potential targets that will not be properly suited for our business. Turning to our supply chain, while ocean freight costs have stabilized at attractive levels, we have incurred a notable but manageable increase in domestic trucking costs. In order to manage costs and overall COGS, we have sourced products at reduced costs, which have provided the ability to maintain favorable margins of approximately 37% in the quarter. Despite the brevity of the Longshoremen strike, we did experience a delay in moving goods in the region. In addition, climate conditions including the drought in the Panama Canal and U.S. hurricane events resulted in business disruption and caused delayed shipments. In Europe, the geopolitical turmoil that has caused challenges throughout 2024 continues to divert shipments out of the Red Sea, prompting a longer route to Europe. We've successfully mitigated any business interruption as far as inventory and have met customer and consumer demand. In Mexico, our plastics manufacturing facility remains unscheduled to reach full production capacity and we will begin shipping an expanded product assortment by the end of the fourth quarter of this year. We have taken a measured approach to ramp up this facility to ensure we achieve high quality output and build an appropriate product mix being produced in this facility. This and other initiatives are helping us progress in our efforts to have approximately 25% of our spend on goods being sourced outside of China in the near term. In addition to this Mexico initiative, we remain primarily focused on southern and eastern Asia and expect to expand this initiative in 2025 with the good progress we have made to-date. Our manufacturing partners in the region are working with us and setting up new facilities outside of China to accommodate this expansion in several countries. One example of this is our recent transfer of the manufacturer of our largest skew by volume to Cambodia. I'll turn to some high level color around our balance sheet which Larry will discuss in greater detail shortly. In preparation for any uncertainties following the outcome of the Presidential election, we have taken defensive operational measures and increased inventory levels to protect against the potential for increased tariffs post-election. In our experience, we've determined this to be a prudent operational action though this does incur utilization of cash and liquidity. This was critical to avoid a business interruption and to control retention of our market share with ample reserves through a higher inventory level as we position for increased sales volume and end market demand in 2025. Importantly, this investment was strategic and we will be able to monetize this reserve inventory at full value. Overall, we are comfortable with holding a higher level of inventory as a hedge against the material impact from potential tariffs. As noted in the second quarter, we placed certain customers on credit hold to mitigate risk based upon the headwinds at retailers which was a component of the decrease in sales from the prior year period and a contributor to the revised 2024 sales forecast. One example is Big Lots, which we had on credit hold and therefore did not ship orders that we had received over the last two quarters. They have since filed bankruptcy and we have now begun shipping on a post-petition basis while avoiding the credit liability that existed pre-bankruptcy filing. We continue to believe this is another hedge to reduce risk that is in our control. We are comfortable with our leverage ratio and pleased with our cash generation levels despite headwinds in the environment. As we look ahead to the remainder of the year, we believe we are well-positioned to continue to grow market share and create value as we anticipate a rebound in demand in 2025. We have a strong foundation in place, thanks to the significant work completed over the past several years, which has resulted in our resilient business model, something I take great pride in. We look forward to keeping you updated on our progress as we continue expanding our leading portfolio of brands, driving innovation and delivering operational excellence. With that, I'll now turn the call over to Larry.
Larry Winoker: Thanks, Rob. As we reported last evening, net income for the third quarter of 2024 was $300,000 or $0.02 per diluted share compared to $4.2 million or $0.20 per diluted share in the third quarter of 2023. Adjusted net income was $4.5 million for the third quarter of 2024 or $0.21 per diluted share compared to $7.7 million or $0.36 per diluted share in 2023. Income from operations was $8.6 million in the third quarter of 2024 versus $13.6 million in the 2023 period. Adjusted income from operations for the third quarter of 2024 was $13.2 million compared to $17.7 million in the 2023 period. And adjusted EBITDA for the trailing 12-month period ended September 30th of 2024 was $53.9 million. Adjusted net income, adjusted income from operations, and adjusted EBITDA are non-GAAP financial measures which are reconciled to our GAAP financial measures in the earnings release. Following comments over the third quarter of 2024 versus 2023, unless stated otherwise. Consolidated sales declined by 4.1% to $183.8 million. U.S. segment sales decreased 5.1% to $170.2 million. As Rob commented, sales were adversely affected by end market softness that drove slower volume at point of sale and contributed to retailers' de-stocking, including delaying programs. Within the segment, the product lines most affected by these factors were tableware, kitchen tools, and hydration. These declines were partially offset by increases per cutlery and home decor products. And while brick and mortar retail demand declined, U.S. e-commerce sales increased from 15.7% to 18.3% of total U.S. sales. International segment sales increased by 10.9%, $1.3 million, 1.1 million in constant U.S. dollars, to $13.6 million. The increase came from UK national and export accounts to continental Europe, in part driven by new placement at large retailers. Gross margin overall remained mostly steady with a slight decrease to 36.7% from 37%. U.S. segment gross margin decreased to 36.8% from 37.3%. The decline was due to product mix. An international gross margin increased to 34.6% from 32.5% driven by customer and product mix. U.S. segment distribution expenses as a percentage of goods shipped from its warehouses, excluding non-recurring expenses, were 9.1% in both periods. Increases for licensing fees for our new warehouse management system and higher labor rates were offset by lower freight out expenses. For international distribution expenses as a percentage of goods shipped from its warehouses were 24.2% versus 22.4%, reflecting general inflation factors and the impact of our new direct APAC sales strategy. Selling, general and administrative expenses decreased by 3.5% to $38.8 million. In the U.S. segment, expenses decreased by $1.6 million to $30 million. As a percentage of net sales expenses were 17.6% in both periods. The decrease was driven by lower employee costs, the largest component of SG&A, primarily due to lower incentive compensation. Other decreases included lower allowances for doubtful accounts. This is partially offset by general inflationary factors. For international, SG&A increased by $800,000 to $4.5 million and as a percentage of net sales it increased to 33.1% from 30.1%. The increase is driven by higher employee expenses and certain regulatory expenses. Unallocated corporate expenses decreased by $600,000 to $4.3 million due to lower incentive compensation, partially offset by higher professional fees. As mentioned in our release, included in SG&A expenses was diligence related expenses for an abandoned acquisition transaction of $300,000 and $900,000 for Q3 and the nine-month period, respectively. For interest expense, excluding mark-to-market adjustment for swaps, the increase was $600,000 due to higher interest rates on our debt, partially offset by lower average debt balances. The effective income tax rate for the quarter and prior periods differ from the federal statutory income tax rate, primarily due to foreign losses for which no tax benefit is recognized. And looking at our debt and liquidity position, our balance sheet continues to be strong. As of September 30th of this year, our liquidity was approximately $76 million, which included cash plus availability under our credit facility and receivable purchase agreement. The decrease in liquidity from the second quarter reflects seasonal peak needs for working capital, as well as higher inventory purchases to support forecasted sales for the fourth quarter, products expected to shift in the first quarter of 2025, and to mitigate some risk against potential tariff increases. As provided in our release, we updated our financial guidance for the full year of 2024, which is as follows, net sales of $680 million to $700 million, adjusted income from operations from $44 million to $47 million, adjusted net income from $11 million to $13 million, and adjusted EBITDA of $54 million to $57 million. This concludes our prepared comments. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. [Operator Instructions]. Your first question comes from Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony Lebiedzinski: Good morning and thank you for taking the question. So I guess we first wanted to drill down on the 3Q sales shortfalls. So maybe if you could separate the impact of the delayed shipments for, I believe mass retail was the biggest sales that you saw the performance, but then look at that versus the Dolly Parton shipments that got delayed. So maybe if you could just kind of cross out those two and I have a couple of other questions as well.
Rob Kay: Yes, so the big miss in the quarter, some of the timing is in the mass channel where there was just softness and the orders weren't there. The guidance was driven also because that didn't the dollar shipments of Dolly were not in the third quarter. But there was a fair amount in the fourth quarter, as we said, well over 4 million, which is being pushed at their choice. So it'll ship in the first quarter, but it won't ship in this quarter and that helped drive the change in our guidance.
Anthony Lebiedzinski: All right, that's helpful, Rob. And then in terms of the distribution expenses, they were up 17% from last year. I think Larry, you touched on a little bit, but that's a bigger spike than what you guys typically have in a quarter. So maybe if you could just drill down into some more details about that and what are your expectations going forward?
Larry Winoker: Yes, so when I cited the percentage that they were even with last year, I did exclude two items that won't repeat. One of them is that something we periodically assess is what's called asset or time and obligations. And you look at all your facilities and determine when those -- by the time those leases expired, what kind of restitution of the conditions of those properties you need to pay for. So we periodically assess it. We had a fairly large assessment this quarter that won't occur going forward. The other one is, as I also mentioned, we do have a new warehouse management system. It's not CapEx, it's all licensing. However, we did have some efficiencies in the implementation. It's all completed for one of our facilities, which is down the West Coast, Rialto. That's all done, but there were some efficiencies that I don't expect to repeat because it's running smoothly. And our East Coast facility in New Jersey, where we're now doing the implementation. We have all the learnings of doing the West Coast first, but we don't anticipate anything unusual. Just note that the asset time and obligation is not to get into arcane here, but you put up an asset and a liability and then you depreciate the asset. So in our financials for the quarter, it's depreciation expense. There wasn't any cash that way.
Anthony Lebiedzinski: Got you. And just to follow up on that. So, in terms of just the distribution expenses, so roughly a $3 million increase in a year-over-year basis. So how much of that would you say is non-recurring of that increase?
Rob Kay: Yes, approximately $2 million of that.
Anthony Lebiedzinski: Okay. That's very helpful. Okay. And my last question before I pass it on to others. So as far as the international segments, it's definitely nice to see improved results there. What are you assuming now for this segment? So what's embedded in your new guidance now for the year in terms of your operating income or net income? However, you want to address that, but just wondering what are you factoring into the international segment now? And it sounds like you expect that to improve next year, but any thoughts on that, that'd be helpful.
Larry Winoker: Yes, we really haven't broken that out, but it's consistent with what we said in the past. So it won't make a profit this year. It will be the performance and the bottom line and top line will improve year-over-year, which is in our guidance for this year. But we'll see the bigger impact next year, which when we release that, we'll discuss.
Anthony Lebiedzinski: Got it. Thank you very much for the best of luck.
Rob Kay: Thank you.
Operator: [Operator Instructions]. Next question comes from Brian McNamara with Canaccord Genuity. Please go ahead.
Madison Callinan: Good morning. This is Madison Callinan on for Brian. Thanks for taking our questions. First, we're just curious what drives the hockey stick improvement and sales in Q4 with guidance calling for 9% growth at the midpoint? Thanks.
Larry Winoker: Well, you characterize it as a hockey stick. We just see it as the fourth quarter is strong. We did mention there are some programs that were delayed at the retailer's direction. So we expect that to shift in the fourth quarter, which is [Indiscernible].
Rob Kay: Yes. A lot of it is just timing and look in our business. You can have programs that shift one quarter versus the next, right? So for the full year, it's moved out, and one quarter may be different versus the quarter -- a year-over-year versus another quarter, but for the full year, it's moved out and that's historically what you see with our business.
Madison Callinan: Great. And then secondly, after a few lean years with tough end markets, what will it take to sustainably grow the business again long term? Any color around that? Thanks.
Larry Winoker: There's so much noise out there. It's an interesting question. So, it's consumer confidence and consumer demand drives our business, like most consumer products. So if you look at the market over the last couple of years, we've maintained or gained market share. The overall market hasn't been growing in the consumer. In the food service, part of our business, it's been a good growth business. We're really just gaining a lot of share. But that market is down this year as inflationary and other, particularly food inflation and the cost of dining has gone up. People haven't been dining as much and therefore the industry has not opened as many stores and has delayed decisions on capital spend, in other words, new dinnerware and glassware and the like. So, but that is currently a 6% growth industry. We expect that in the near term back to those levels. And if you look at Circana data, if you look at NRF and other big organizations, they're expecting pent-up demand to be released in a robust holiday season. We'll see soon enough, right? And -- but if there's increased stimulus, which may happen in the year, that definitely benefits consumer spending as we saw back in the big stimulus in 2021, right? People use that money to spend. So that would be a big benefit for our business. The European marketing, particularly, but for us, we're not as penetrated. So, those markets are soft. There's a lot of macro issues. If the winter ends up being cold, that's going to hurt demand there because energy costs are just so high. But we continue to gain share. So that's why in that environment, you see us growing 11% this quarter. And that should continue to drive our performance internationally because we're just gaining share in a market though that isn't doing well with a growth in that end market, we'll go that much better. So a lot of it is going to be consumer confidence, the general state of the economy and consumer spending.
Madison Callinan: Thank you very much.
Operator: Next question, Christina [Indiscernible] with the D.A. Davidson, please go ahead.
Unidentified Analyst: Hi, it's Christina on Linda Bolton Weiser. So a clarifying question, I was wondering like for the $4 million, is there something planned for third quarter or fourth quarter that got delayed to the first quarter of '25? And maybe on the new commercial food product line, like so obviously retailers were kind of like locked in to put in the order. So like, how are the retailers accepting the new commercial food product line based on the conversation that you have recently?
Rob Kay: Yes, hi. On the first piece, I think you're asking about Dollar General. So Dollar General excuse me, the shipment of shift of a little over $4 million is really a 4Q to 1Q shift. It will shift. So, but the shift is from Q4 into Q1. And that had a big impact in widely revised guidance. So that's just the timing. And that program is solely at Dollar General. Dollar General had softness in public. So it's actually a good opportunity because our relationship is really strengthening with them. But as a result, they didn't move stuff into score, which they originally were going to do. And they delayed it out a quarter. It is going to shift. The program is doing extraordinary well, is exceeding as they tell us their expectations noticeably. So that program will grow meaningfully in '25, but the delay is shipping. We have the inventory sitting in just here. We will ship that to them already scheduled in Q4. I think the second question had to do with our food service, nothing to do with retail. So, the food service, so in that segment, hotels, restaurants, it's probably the industry's down, right? So in a down time, they're delaying capital spend, which includes buying these sets again, and wearing glasses, and the like. And new store openings, which drive our business, because if you need new tabletop, and for that matter, back of the house, scales and thermometers, timers. So it's just down in the industry is expected to rebound next year. But we're gaining share in there. So a lot of share that we've gained wins because of the delay, they're not shipping, but that'll ship starting in '25 with all these new wins, just because they're going to have to buy stuff. And the other piece we had announced our partnership with a Dutch company to gain a very prestigious line that already has existed and been sold for years, called Royal Leerdam and ONIS, it's the same company, had two lines. And we originally had anticipated that starting to ship in Q4. Operationally, that's going to specifics operation, we're more sophisticated than they are from a logistics and operation, which includes barcoding and other packaging things. And as a result of sort of the systems need to be able to put that in place, it caused a delay in our shipping that product, which we originally hoped and anticipated to ship that product starting in Q4. Now that'll start shipping in Q1.
Operator: That concludes today's call. Thank you all for joining. You may now disconnect.
Rob Kay: Thank you, everyone.